Operator: Good day and welcome to the Farmer Mac Fourth Quarter 2019 Investor Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded.I would now like to turn the conference over to Brad Nordholm, CEO. Please go ahead.
Brad Nordholm: Thank you, operator, and good afternoon everyone. I’m Brad Nordholm and I’m very pleased to welcome you to our 2019 fourth quarter and year end investor conference call. We have a number of positive developments to discuss today. But before I began, I need to ask Steve Mullery our General Counsel to comment on some of the forward-looking statements that management may make today as well as Farmer Mac’s use of non-GAAP financial measures.
Steve Mullery: Thanks Brad. Some of the statements made on this conference call may be forward-looking statements under the securities laws. We make these statements based on our current expectations and assumptions about future events and business performance and we may not be obligated to update these statements after this call.We caution you that forward-looking statements are subject to risks and uncertainties. Actual results may differ materially from the results expressed or implied by the forward-looking statements. In evaluating Farmer Mac you should consider these risks and uncertainties as well as those described in our 2019 annual report on Form 10-K filed with the SEC this afternoon.In analyzing its information Farmer Mac sometimes uses measures of financial performance that are not presented in accordance with generally accepted accounting principles in the United States also known as non-GAAP measures. Disclosures and reconciliations of Farmer Mac’s non-GAAP measures can be found in the most recent Form 10-K and earnings release posted on Farmer Mac’s website farmermac.com under the Financial Information portion of the Investors section. A recording of this call will be available on our website for two weeks starting later today.
Brad Nordholm: Thanks Steve and good afternoon to everyone. Thanks very much for joining us. Today I’m going to provide a high level overview of our 2019 results. Then I’m going to turn the call over to Zack Carpenter our Chief Business Officer who will discuss customer and market developments then to Jackson our Chief Economist, who will give you an update on current agricultural environment and related credit conditions.Finally I’ll turn the call to Aparna, who joined us our Chief Financial Officer in early January of this year. She’ll spend some time introducing herself, share her initial observations about Farmer Mac and review our financial results. Well it’s a pretty lousy day in the markets today. But I’m happy to report that Farmer Mac had an excellent year in 2019 on all fronts. Our outstanding business volume grew $1.4 billion during the year to a record $21.1 billion while current earnings increased 12% from 2018 to a record of $93.7 million.Our growth and strong financial performance in 2019 can be largely attributable to closely aligning our business development efforts with our multi-year strategic plans that we worked on throughout the back half of 2019. If you saw in our press release earlier this afternoon, we announced $0.10 per share increase in our quarterly common stock dividend to $0.80 per share. This reflects our board’s decision to maintain our common dividend payout target as a percentage of our annual core earnings at approximately 35%. And deciding to increase Farmer Mac’s common stock dividend and maintain our payout target the board comprehensively considered our strong capital position and the consistency of and outlook for earnings. Along with the size of our balance sheet and the need for capital to fund significant growth objectives identified in our strategic plan.We also want to make sure in thinking about dividend [indiscernible] that we’re meeting all of our regulatory capital requirements and our capital metrics established by our board. These actions are consistent with Farmer Mac’s goal of providing a competitive return to our common shareholders investments through the payment of a cash dividend and a payout ratio of core earnings. This approximately aligned with those of other financial institutions.Better execute upon our mission of financial rural America. Our long-term strategic plan objectives emphasize innovation in how we acquire and retained customers as well as how we developed new products. Zack Carpenter our Chief Business Officer and Brian Brinch, our Senior Vice President of Rural Infrastructure have taken the lead in these efforts over the last year and have made significant progress towards our goal of becoming a more efficient organization and in building and maintaining strong relationships with our customers.Our Farm & Ranch and Rural Utility business are foundational they’re absolute core to what we do. Not only to our business model, but also to our ability to provide financing to rural America it’s where the greatest need is. By executing on our strategic plan with an increased emphasis on customer value and profitable volume growth we believe are well positioned to expand our business volume and market share and ultimately expand our bottom line.With the support of our board and our new Board Chair, LaJuana Wilcher. We believe our unified commitment to Farmer Mac’s strategic plan in conjunction with the organization’s talented and committed employee base are enabling us to take Farmer Mac to the next level. Now I’d like to turn to Zack to give you an update on customer and market developments.
Zack Carpenter: Thanks Brad. As Brad mentioned 2019 was a significant year as we focused on enhancing our foundation so that we be in a better position to achieve our strategic vision and deliver a competitive financing solution to the broader agriculture and rural credit markets. In our Rural Utilities line of business outstanding business volume nearly double in 2019 compared to 2018 and primarily due to the purchase of a portfolio of participation is from CoBank, a seasoned Rural Utility allowance in the amount of $546 million. This purchase not only represented an enhanced relationship with CoBank the largest institution in farm credit system but also elevated our ability to provide capital to a mature financial market.Our Rural Utilities team did an outstanding job of enhancing our foundation and infrastructure to become a meaningful player on this market which can be seen by additional flow purchases of approximately $230 million following the initial CoBank transaction. On top of $80 million of loan purchases from our key partners the National Rural Utilities Cooperative Financial Corporation in 2019.In our foundational Farm & Ranch and on purchases in USDA Guarantees line of business, net volume growth increased 44% or approximately $800 million in 2019 it’s driven by a record year in loan purchases in our core Farm & Ranch line of the business where we have net loan volume increase of 77% from 2018. As a mission driven organization it is important that in an ever changing agriculture and economic environment, we remain adaptive and flexible to meet our customers’ needs by providing competitive financing solutions.With this philosophy in mind, during the second half of 2019 we created a more dynamic and responsive business model that has transformed the way we deliver upon our mission and resulted in improvement in customer satisfaction, volume retention and penetration in existing and new markets. The success of the strategy was especially appeared in the fourth quarter of last year as we added net new Farm & Ranch loan purchases of $440 million compared to $168 million in the fourth quarter of 2018. This record quarter growth in Farm & Ranch loan purchases can be partially attributed to the numerous initiatives our team has implemented focused on enhancing our relationship with our core customer set through providing flexible, competitive and enhanced financing solution. In pursuing these growth initiatives, we remain grounded in appropriate risk profiles as we continue to look to grow our business lines and deploy capital to the industry as we serve.We also continue to invest in infrastructure including people and technology in order to become more commercial and more efficient. As an example of these efforts would be our score card underwriting product AgXpress which was launched in 2019. This new platform has been a tremendous success representing almost one-third of loan applications in 2019 and offers pricing discounts for loans that are easier to process and underwrite as well as reduces their approval time for a loan to be purchased from our customer.The products efficiency and structure have allowed our underwriting team to be able to focus on more complex loans reducing the approval time on these transactions. Given the success of the AgXpress product in 2019 we’ll be expanding this platform in 2020. As I’ve mentioned on prior calls enhancing our infrastructure is crucial in order to improve our abilities becoming more commercial organization that it’s able to provide consistent and reliable capital to both existing and new markets.We are excited to announce the launch of two significant infrastructure enhancements in 2020. A new customer portal and a new streamline origination platform for AgXpress loans. These two enhancements are the first in a multi-phase implementation program that will create a more robust and more efficient platform for our customers to be able to do business with us driving incremental capital to the core sectors as we serve.We continue to be excited about the strategic direction of the company and will continue to be focused on becoming a more relationship oriented institution for our customer base. As a mission driven organization we need to be dependable on providing capital through the agricultural and economic cycles be competitive in providing innovative financial solutions and be adaptive to all the changing environments.Our recent results are early validation of these initiatives and we’re looking forward to providing more updates on future calls and with that, I’ll turn it back to you Brad.
Brad Nordholm: Great, well thanks Zack. Before I turn to Jackson, I’d like to thank Curt Covington, Curt was formally our Chief Credit Officer. I’d like to thank him for his hard work and dedication over the last five years. We wish Curt the very best. As you saw in a recent 8-K filing Curt resigned to work on some family issues effective February 14. We have engaged a search firm and launched a nationwide search for new Chief Credit Officer and we’ll certainly update you when we have more details.And now Jackson. Jackson’s been with us for 15 years in various role including most recently as our Chief Economist. We understand just about every area of our organization and he’ll be giving you an update on our current agricultural environment.
Jackson Takach: Thank you, Brad. An average rate for our nation’s network of farmers and ranchers brings myriad risks and uncertainties that effect different sector in different ways. In many respects 2019 fits that description due to adverse weather conditions, market price volatility and supply chain disruptions.A less common market condition experienced by the Ag sector in the last few years is global trade headwinds relation to China, Canada and Mexico the top three Ag export destinations in 2017. We’re all strained by tariffs and counter tariffs throughout 2018 and 2019. The presence of counter tariff on farm related trade combined with the strong US dollar caused a downward pressure in the value of agricultural exports in 2019. However the passage of the United States Mexico, Canada agreement into loss [ph] and the trade negotiators from the US and China signed a Phase I trade agreement in January 2020. Although there it still exists some cloudiness along the true potential for trade with China in 2020, these negotiations represent a fine that could translate to increased demand for US agriculture in the coming years.Looking ahead the overall farm income picture remains flat in 2020. The USDA estimates cash from income was elevated in 2019 largely result of the $14 billion and cash installment payments to farmers through the Market Facilitation Program or MFP. This program was designed to offset the economic drag on farmers from trade negotiations. After five years of off peak farm incomes many indicators of farm financial stress are increasing to more historical average levels. Composite cash from income is down from 2014 peaks, but near 20-year historical inflation adjusted averages. Absolute farm debt levels are new highs, but the average sector debt to asset leverage ratio is near the 20-year and sector debt coverage ratios remain better than historical averages due to persistently low interest rates.Default rates on farm land secured mortgage loans at commercial banks and farm credit institutions during 2019 were elevated from 2016 lows but remain well below the 15-year averages. Similarly Farmer Mac’s Farm & Ranch portfolio 90 days or more default rates was just under 0.8% up from lowest experience in 2016 but still under our 15-year average. Agricultural loan charge off rates remain near historical averages as well. Low charge off rates at Farmer Mac continue to reflect strong borrower and collateral performance as evidenced by our average Farm & Ranch loan to collateral value ratio of 51%.It’s also important to note that loan credit events are influenced by local market conditions unique to each and every rural business. For example, Farmer Mac’s allowance provision increased in 2019 largely the result of a single specific reserve placed on a specialized poultry loan. This is a natural function of short-term economic and agricultural cycles that effect different sectors and regions at different times. Despite some bumps along the way, the road ahead for the farm economy remains filled with opportunity. Interest cost and electricity cost remain evidenced of the mission delivery thousands of Ag lenders and rural electric cooperative providers across the country. Furthermore, additional investments in renewable energy particularly solar present new opportunities for energy providers and land owners to generate reliable source of power and all farm income.Finally, changing consumer demand gives farm producers and agro businesses new specialty crops and food products to bring to market and with that, I’ll turn it back to you Brad.
Brad Nordholm: Great, thanks very much Jackson. Well Farmer Mac remains committed to our historically high standards of credit quality as we look for ways to further execute on our mission to provide credit to America. There may be circumstances in which we will look at ways to expand our credit envelope and take some additional risk flexing to market conditions when we can be paid, when we can be compensated for taking that risk.Now I’d like to turn to Aparna, our new CFO. She joins us with over two decades of financial expertise. Mostly recently with the Federal Reserve Bank of Boston, where she served as Senior Vice President and Chief Financial Officer. We’re excited to have her on board in support of our efforts to grow our business and execute on our strategic plan. With that I’ll turn the call to Aparna so can introduce herself to you and discuss our financial results in more detail.
Aparna Ramesh: Thank you, Brad. I’d like to begin by expressing how happy I’m to be here and to be a key contributor to this mission driven organization. Most of my career has been with organizations that have strong sense of mission and my belief is that finance can be a force for good. Given my values and experiences I was really drawn to Farmer Mac. I’ve spent the last several weeks I started here on January 6 and I’ve immersed myself in getting to know the team as well as understanding the key business issue. I’m truly impressed by the high caliber of talent across the organization. Very excited about Brad’s vision for Farmer Mac and the many opportunities present for us to serve our customers, deliver on our mission and create long-term value for our shareholders.I’d like to touch upon some quick highlights from a strong fourth quarter of 2019. As you heard from Zack in his business update, we saw sequential net business volume growth of about $185.6 million and it was primarily driven by our Farm & Ranch line of business. Our net effective spread increased 18% year-over-year to $46 million. Our core earnings grew 20% year-over-year to $24.5 million or $2.27 per diluted share.Turning to our full year results for 2019. Our results were notably strong across the board and in keeping with our historical averages. We had robust new business volumes, stable spreads and growing profitability. Specifically our outstanding business volume for the year increased by net $1.4 billion to leave us at a record $21.1 billion as of December 31, 2019 and this encompasses also lines the business that contributed to the growth. Farmer Mac’s net effective spread for 2019 was $168.6 million, a 12% increase from $151.2 million in 2018 and this was primarily due to the growth that I just mentioned on net new business volume.In percentage terms, our net effective spread was 0.91% for both 2019 and 2018 so remarkably consistent. Our core earnings for 2019 grew by 12% to $93.7 million or $8.70 per diluted common share and this is in comparison to $84 million or $7.82 per diluted common share for 2018. The year-over-year increase in core earnings was primarily due to the increase in net effective spread once again driven by higher business volume which was partially offset by $2.5 million after tax increase in the provision for loan losses and $1.6 million after tax increases operating expenses which was related to the continued invested that we’re making in technology, business infrastructure and compensation and benefits.Operating expenses increased by 4% in 2019 compared to 2018. This was notably less than our initial expectations of 8% to 9%. This is primarily due to timing issues as we’re in the early stages of modernizing of our infrastructure and also hiring some key personnel. We expect these efforts to continue and increase through 2020 as we innovate and grow our business. However, the exact timing of these expenses is uncertain and therefore hard to pinpoint.As of December 31, 2019 the total allowance for losses was $0.6 million, a 16 basis points of the $7.8 billion Farm & Ranch portfolio. allowance for losses increased $3.4 million from the prior year end and this was largely related to a very specific reserve on a single specialized poultry loan and this is what Jackson referenced earlier in his section, however I would like to note that our overall credit quality for the entire portfolio for Farmer Mac continues to remain extremely strong and in line with the long-term historical averages of Farmer Mac and our industry benchmark.So turning attention to capital. We remain very well capitalized and this puts us in a position of strength as we embark on a multi-year growth plan. Farmer Mac’s $815.4 million of core capital as of December 31, 2019 rose by $87.8 million [ph] from the prior year end and exceeded our statutory requirement by $196.7 million or 32%. This increase was due to the issuance of the Series B Preferred Stock in May 2019. But really it was a result of an increased and retained earnings.I’ll note that retained earnings continues to be the primary driver of our capital position and allows us to provide long-term value to our shareholder. As Brad mentioned, our strong earnings and capital position support our dividend increase and target payout ratio of 35% of core earnings.So in conclusion, Farmer Mac is in excellent financial condition with solid credit fundamentals, exceptional access to competitive cost funding across various tone structures, superior operational efficiency given our headcount relative to our asset side, strong earnings growth and robust capital position. We’re extremely encouraged by the momentum we’re seeing from the success of the strategic initiatives that are currently underway and we remain very committed to the near term and long-term opportunities to growth that are identified within our strategic plan.Our goal is to continue to serve our customers efficiently and we’re therefore making the necessary investments in modernizing technology and infrastructure that Zack referenced and this will also enable us to adopt a more data driven approach towards risk and return. Such investments come from the key talent augmentation will put us in a strong position to fulfill our mission to deliver low cost and accessible capital across rural America.Once again, I’m very excited to be a part of the leadership team at Farmer Mac and helping the organization achieve strategic and financial goal. More complete information about Farmer Mac’s 2019 performance is in 10-K filed this afternoon with the SEC. and with that Brad, I’ll turn it back to you.
Brad Nordholm: Thank you, Aparna. Our board and our management team are very proud of our 2019 financial results. We believe our performance provides a strong foundation for visibility and growth in the future as we continue to execute on some of our more ambitious objectives. Our experience and diverse leadership team as well as our dedicated and talented group of employees are fully committed to our long-term strategy and have the capability and desire to make it succeed.We continue to focus on our mission to increase availability and affordability of credit to rural America through an increased focus on customer service retention, efficient product delivery and our inherent cost of funding competitive advantage. Our mission provides focus and our focus enabled specialization and expertise in agricultural credit allowing us to significantly expand our market share, grow our top line or our bottom line that allows us to deliver long-term value to our shareholders.Put another way, I’m sometimes asked well just because you’re so focused on agriculture doesn’t that limit your opportunity and I feel that is exact the opposite that focus results in specialization and deliver strong financial results. Put yet another way, we’re very good at what we do. And so now operator I’d like to see if we have any questions from anyone who’s on the line today.
Operator: [Operator Instructions] the first question we have is from Henry Coffey from Wedbush. Please go ahead.
Henry Coffey: Good afternoon and congratulations on the dividend increase. Your spreads have been remarkably stable over the last three years. Given the current volatility we’re seeing in the interest rate market as of late with the 10-year down etc., is that going to challenge your capacity to keep spreads within the two or three basis points change that we’ve seen or is that kind of more like business as usual and we continue to expect the same thing?
Brad Nordholm: I think the fact they’re 91 basis points for both the years is really remarkable. I think generally when we’re speaking to investors, we talk about 90 basis points plus or minus five as a reasonable range of expectations for you. But when you consider how we fund our business and really the issuance of our liabilities and our interest rate swaps to match specific asset that we’re putting on the books really on a co-terminus [ph] basis it’s not surprising because we’re essentially pricing to our cost of funds and since we understand the risk profile, we have a very, very good idea of how we’re going to land close to that 90 basis points on a risk adjusted basis.
Henry Coffey: Great, thank you very much.
Operator: The next question comes from Greg Pendy from Sidoti. Please go ahead.
Greg Pendy: I guess I just wanted to jump into the expenses. I know you mentioned you came in around 4% below your initial target in 7% to 8% range. Can you just give us a little bit color on how to think about 2020, are there some IT initiatives or hiring that is being pushed out from 2019 into 2020 and kind of just a rough way to think about the year-over-year increase that we should be looking for in 2020 and expenses?
Brad Nordholm: Yes, I know we’ve been telling you Greg for a couple quarters now that our operating expenses would be trending up and as Aparna mentioned it really is a timing issue for us. We have significant IT initiatives underway some of the actual payments for those initiatives have been hitting a little slower than we expected even though we’re remarkably on schedule relative to our plan for those upgrades. We thought that, where we at the end of the first quarter of 2020, we might be somewhere in the neighborhood of 110 to 112 employees. I think we’re about 105 right, with 10 unfilled positions that are posted approximately 10 unfilled positions that are posted. So I think maybe in that metric alone it’s probably the best illustration of why some of this expense pick up has been a bit slower to hit then maybe we have led you to believe. But we are committed to moving ahead with these initiatives. We do have growth objectives. We’re filing this end positions and probably additional positions as well, as we get further into 2020 and so saying expense growth in that 8% to 105, even 12% range would not be evolved unexpected.
Greg Pendy: Okay, great. That’s helpful. And then I guess just one final one, just on the 90-day delinquencies. I know you had a sequential decline I think in 3Q you mentioned some idiosyncratic type loans. Can you just give us a little bit color just from a year-over-year perspective like seasonality it should some down from 3Q to 4Q if I’m not mistaken, but it is a bump from where you were at last year? So just kind of what’s driving it maybe from a year-over-year perspective.
Brad Nordholm: Yes, it is and if you look at 90-day delinquencies. They’re up from a year ago end of 2018. They’re pretty close to where we were at the end of 2017 and so there’s some quarterly as well annual seasonality that’s come into play here. And it does seem to be core I’d use the term “idiosyncratic” which I know we’ve used before situations and in fact the special reserve that we took during the fourth quarter was one of those situations that was one loan to a processor that had a unique product, unique feed and unique processing process and does not reflect for example a wholesale deterioration and credit quality in any particular region upper Midwest for example across any particular crops for example.As we’ve said before we’re keeping a very close eye on this situation. Jackson mentioned that income and liquidity are both down from 2014. Offsetting that on the other hand while debt levels maybe up a bit across the sector, our average loan to values have been remarkably stable and we have actually seen the debt service coverage ratio that building off our customers to our cash flow, their debt has actually improved a bit because of these variable interest rates. So it continues to be hard to make generalizations about what you might classify systematic or sector wide deterioration in credit and we do continue to point to those for idiosyncratic situations. Jackson, do you have anything to add?
Jackson Takach: I think exactly how we think about it, yes.
Greg Pendy: Well that’s very helpful. Thanks a lot.
Operator: There are no more questions in the queue. This concludes your question-and-answer session. I would like to turn the conference back over to Brad Nordholm for any closing remarks.
Brad Nordholm: I’d like to conclude by thanking everyone for listening and participating in this call. We will be having our next regularly scheduled call in May to report on our first quarter results. Look forward to sharing additional information with you at that time. As is always the case, if you have any questions don’t hesitate to get in touch with Jalpa. We know that the timing of this call late in day [indiscernible] okay it was a little bit different then sometimes - as you have had an opportunity to maybe digest full 10-K and reflect on this call today. But do give us a call. We’d love to talk. So with that operator, thank you very much.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.